Andre Parize: Good evening, everyone. I'm Andre Parize, Investor Relations Officer at XP Inc. It's a pleasure to be here with you today. On behalf of the company, I would like to thank you all for the interest and welcome you to our 2024 earnings call. This year was a record-setting of results and today it will be presented by our CEO, Thiago Maffra, and our CFO, Victor Mansur, who will both be available for the Q&A session right after the presentation. If you want to ask a question, you can raise your hand on the Zoom too and we will attend you on a first-come first-serve basis. We also have the option of simultaneous translation to Portuguese. There is a button below if you want to turn it on the translation. And before we begin our presentation, please refer to our legal disclaimers on Page 2 on which we clarify forward-looking statements and additional information on forward-looking statements can also be found on the SEC filings section of the IR website. So, now I'll turn it over to Thiago Maffra. Good evening, Maffra.
Thiago Maffra: Thank you, Andre. Good evening to all. I appreciate everyone joining us for our fourth quarter 2024 earnings call. It's a pleasure to be here tonight. Let's explore and discuss our quarterly results as well as our strategy in place to accomplish our goals. 2024 was a positive year for us. Our results were aligned with our plan, bringing confidence that our ecosystem is complete and able to navigate through different weathers. This year, we also dedicated to increase our ability to deliver higher quality service to our clients, better segmentation, innovative products, sales channel expansion, and all of it with strict cost control. Our business is supported by our more intelligent and sophisticated tech platform, creating opportunities to grow the secondary trading and as a result, we delivered higher profitability to our shareholders. As part of our culture, we celebrate our people commitment highlighting partners with more than 10 years working at XP. And last month, I completed 10 years in XP like many other partners. So it was special to see all the transformation we had during the last decade and imagine how many new growth opportunities we still have for the next one. Now, I will share with you the main highlights we accomplished during the year, starting with client assets that we achieved BRL1.22 trillion, posting a 9% growth year-over-year. We also reached 18,200 advisors, representing 5% growth year-over-year and client base achieved 4.7 million with 3% growth year-over-year. In 2024, gross revenues posted BRL18 billion with a solid 15% growth year-over-year. We also delivered sound EBT growth of 26% year-over-year, reaching BRL5 billion. And happy to announce that we achieved the highest quarterly adjusted net income since our IPO, posting BRL1.2 billion in fourth quarter '24 and a total of BRL4.5 billion for the full year, which represented 17% expansion year-over-year. On the balance sheet and profitability, we achieved 28.7 ROTE in 2024 with 376 bps expansion versus 2023 and our ROE market 23%, 163 bps expansion. This ratio year-end was 17.7%, a comfortable level when considering the payment of BRL2 billion in dividends, our secured loan book growth, and effects of higher interest rate curve in the end of the year. We will bring more details on this topic during the presentation. Regarding the adjusted diluted EPS, we posted 16% growth during the year. And looking ahead, EPS should grow faster than net income when we take into consideration the share buyback program we opened last year. Our set of results confirm that we are in the right direction to deliver our 2026 guidance. We will see more details on the next slides. Let's see how our business evolved since we presented our guidance in December 2023, we will go deeper in each pillar on the next slides. Since our total revenues reached $18 billion during the year, representing 15% growth to reach the top of the guidance is necessary to post 22% CAGR and to reach the bottom is necessary to post 12% CAGR. When we take EBT margin in consideration, we posted 256 bps expansion, reaching 29% in the year. It corroborates that our plan is on track to achieve our target range of 30% to 34% in 2026. Now on the right-hand of this slide, there is a comparison from final year 2024 with third quarter '23, which was the reference that we set our targets for 2026. Analyzing the three pillars that comprehend total gross revenues, we see that core investments and new verticals are within the growth range, and corporate and SMB is above. As a conclusion, gross revenues present CAGR of 17%. The same idea is related to EBT margin with a sound expansion during the period of 283 bps at 29%, what reinforced our confidence to achieve our goals. Moving to the next slide. Now in retail investments, during 2024, the number one question to XP was net new money. And we have been addressing the question demonstrating our capacity in delivering around BRL20 billion per quarter in retail. This quarter, we posted the BRL20 billion in retail with 67% growth year-over-year despite the challenging macro-environment. Comparing total net new mining when corporate is included, we posted BRL26 billion, representing 37% growth year-over-year. And when we compare the full year, we presented BRL103 billion in net new money with a 45% growth. Considering only retail excluding Modal's acquisition, it was a 33% growth year-over-year with BRL81 billion. Our target remains the same for 2025, net new money around BRL20 billion per quarter in retail. We understand that our true differentials set us apart from peers and will contribute to our continuous growth for the next years. Moving to the next slide, we will go deeper in our main levers starting with our complete product platform offering sophisticated instruments to our clients according to their objectives. I'm happy to share our current fixed-income capacity. XP is a fixed-income powerhouse in Brazil, being the largest market maker for all fixed-income instruments. It became a relevant growth engine in our ecosystem. It was built not so long ago. Actually, we doubled AUC size in the last two years. It is a big question if fixed income will perform as last year. But as you can see in the slide, traded volume to client assets ratio is steady during the years. AUC kept growing at a fast pace and as a result, fixed-income daily average traded volume skyrocketed reaching 40,000 trades in 2024. To achieve this service level, we have to consider the powerful combination of the largest well-trained sales team in the country, diversified, and innovative product offering and risk management accuracy. Moving to the next slide, we see our new distribution channel model. Since 2021, we built a multichannel distribution channel in two main categories. The first one, B2B, which comprehends IFA's wealth managers and RIAs. And the second one, B2C that contemplates internal advisors, self-direct model, and private bank. Those categories have demonstrated to be complementary, addressing client needs and support our commercial trust posting continuously AUC growth. Important to highlight that the new distribution channels we launched during the last years already represent 60% of total net-new money. As you can see on the right-hand of this slide, our proprietary tools provide more intelligence to support advisors with daily activities. We do this by providing data so advisors can manage clients' portfolios according to their objectives and simulate new strategies and performance. On the back of this new technologies and servicing model, we have our RFA channel ready to accelerate even more in 2025, becoming adherent to this new concept to manage clients' portfolios, improving loyalty, and satisfaction. The adherence to these tools and practice, it's very important. And one of the many examples that makes this clear is when we see that advisors who became to our new commercial behavior increase their daily activities by 11 times. This shows a powerful combination of tools and a new mindset in relationship with our clients. On the next slide, we developed a segmentation with accurate value proposition. As we can see in the slide, we have from digital to private, other part of our better understanding of this new segmentation is based in five different dimensions. Number one, focusing what clients are looking for in the relationship with XP from transactions and banking for digital clients to integrated solutions for private clients. Number two, advisory model with three different approach, objective-based financial planning and wealth planning. Number three, investment options with proper pricing, sophistication, and access depending on the client segment. Number four, banking experience, also with differentiated pricing and products such as different credit cards, matching our clients' expectations. And last, client support with increasingly higher personalization and benefits. For example, faster SLAs and participation in events and experiences. Additionally, we are also preparing new initiatives to launch during the year with this rationale. One of them, it's a new credit card experience that we expect to result in higher cross-sell and share of wallet. We already saw that the new segmentation started to translate into better results. One from many examples is our private bank, which is performing much better in terms of inflows and client satisfaction than in the previous years. We are excited with the last month's performance and expecting a solid 2025. Now moving to the next slide, we have financial planning. As we saw before, financial planning is an important pillar in our strategy. We are the only institution serving clients with a complete financial planning program to clients with 300K and up, not only client base satisfaction increases, but also their loyalty. As first results, we can see on the right hand of the slide that clients with financial planning program increased two times insurance conversion, increased retirement plans conversion from 30% to 41%, and last but not least, increased our client net new money by 43% and we are just in the beginning, more to be done in the next years. Moving on to the next slide, we will see more details in retail initiatives. Now let's move to our cross-selling initiatives. You can see that credit card grew 11% year-over-year, marking BRL13.1 billion in PPV during fourth quarter '24. When we compare the full year, credit card grew 17%. When we look to our total penetration, we still see a good opportunity to increase our credit card client base since we have only 29% penetration out of the eligible clients and the larger banks are running around 50%. We are excited about our new launches during the year and we expect the card revenue to grow around 20%. Life insurance written premium presented 37% growth year-over-year in the fourth quarter and 44% growth for the full year of 2024. This is other growth avenue for the next years since our penetration is about 2% and other players present close to 17% penetration in this product. When we compare life insurance revenues, it grew 27% in the year, which means that we are starting to reap the benefits from our own insurance company. This is because it takes three years on average to see the positive impact in this business. The first two years are more concentrated commissions and provisions. And for 2025, we expect an even higher revenue growth pace than the one we saw in 2024, which was 41%. On retirement plans, our client assets keep growing double-digit posting 10% year-over-year in fourth quarter, a market BRL81 billion. XP has 5% market share and the market leader 27%. As I said, in recent quarters, we are launching new initiatives as cashback sales force expansion to keep gaining relevance in this offering during the next years. As keep seeing more inflows, we believe we could grow retirement plans revenue by a double-digit rate in 2025. Retail credit NII posted 79% growth year-over-year, marking BRL81 million in revenues this quarter. Since our lending in this concept is backed with client investments as a collateral, our ECL to loans is lower than 1%, which represents one of the lowest levels in the Brazilian industry. We expect this revenue to grow around mid-teens for the year. On the concept of other new products compounded by FX, global investments, digital account, and consortium, they presented 103% growth year-over-year with revenues marking BRL213 million this quarter. It demonstrates how many opportunities we still have to capture through cross-sell in our retail client base, not long ago, it was close to zero. And looking ahead, this concept should cross the BRL1 billion mark per year. And moving to corporate and SMB. As we have been talking about our complete ecosystem, wholesale is an important part of our growth engines. 2024 was a record-setting year for this segment. Now let's see how it performed on different divisions. Starting with DCM, it was a strong year posting 31% growth in volumes compared to fourth quarter '23, marking BRL9.3 billion, coupled with market share gains achieving 13%. As a result, we were top-ranked in DCM, Agribusiness credit notes, and real estate funds. It is possible to gain even further market share since XP is the largest investment platform in Brazil with dominance in secondary trading. In corporate credit, secondary trading, XP represents more than 50% of the local market. Regarding XP, institutional broker dealer, it's another highlight. Given our distribution, power, and quality in execution, we are gaining market share continuously during the last years. In the end of 2024, XP posted 16% market share, which is getting closer and closer to the market leader. Other relevant growth avenue is corporate securities. A few years ago, it was a completely different story. Now our capacity to originate warehouse and distribute corporate credit is in a new level. XP is a relevant player and more important than only size is the benefit of our unique loop to recycle or expanded loan book to our retail and institutional clients. Our turnover on it is 2 or 3 times per quarter. This quarter, our corporate securities book increased BRL9 billion, mainly high-graded names marking BRL32 billion. It means that we distributed a large portion of this book last quarter, and we also originated a larger one. Our competitiveness is supported by relevance as the largest corporate credit broker in the country. On derivatives, we keep evolving our offering while increasing penetration you would see in derivatives. And this was another quarter that we kept our fourth-ranking position compared to 10th two years ago. As we presented last quarter, XP is the leader in interest rate swaps, a true differential of our ecosystem. On FX, XP also sustained 15th ranking position from 41st four years ago when we started. When we look to issuer service and corporate, total revenues posted 45% growth and when institutional concept is included, this three business grew 16% year-over-year. We are confident that our strengths will excel the challenging scenario, marking another solid growth in 2025. Moving to the next slide, we will see XP growth potential. We acknowledge that our business evolved in a complete ecosystem and more and more we have received questions regarding our growth potential. Therefore, I would like to share with you a rationale that supports our plan for the year. It is important to bear in mind that XP business model benefits from a natural growth from total AUC. Today, as we speak, roughly 65% of total assets are allocated in fixed income directly or through funds, which corroborates to expect growth close to Selic rate for these client assets. Additionally, we incorporated net-new money. Then a combination of both translates to a potential double-digit growth in AUC and consequently should support revenues growth. Regarding new verticals, as I presented earlier, we are confident that we are at the very beginning of the potential cross-sell penetration. During the year, we grew 32% and we expect to keep growing at this fast pace in the next years. Another concept which supports our growth is related to float from our clients. By design, the performance will be at Selic rate pace pointing again to a double-digit growth. Next pillar is the issuer service, focused on DCM. It is true that in 2024, Brazilian industry had the all-time high DCM volumes and it's too soon to affirm that's not going to be also a solid year for DCM in 2025. Just in case, if the total DCM volumes for 2025 materialized in lower levels than last year, our plan is to expand our market share and benefit from a new level of Brazilian industry, which is way higher than years ago. Our distribution power is the most important differential to participate in many issuance mandates. Coupled with that is our lower cost of capital, which Victor will present more details ahead. Finally, corporate revenues go hand-in-hand with issuer service, providing derivatives and credit to our clients. XP is becoming more relevant in wholesale business since our recycling mode results in higher distribution capacity to our retail and institutional channels. So even considering institutional revenues with lower pace as part of this concept, both should post double-digit growth. Just as a reminder, we already expected a softer primary offerings volume in DCM for the first quarter '25 due to the seasonality, but this should be offset by a higher activity in the corporate bond secondary market, but compounding all these factors that I just mentioned, the end game should be total revenues growing more than 10% during 2025. Now, I'll hand it over to Victor so he can discuss this quarter's financials. Thank you.
Victor Mansur: Thanks, Maffra. Good evening, everyone. It's a pleasure to be here with you. Let's start with gross revenue. Our total gross revenue posted 15% growth in 2024 and 4% growth quarter-over-quarter. Retail fixed income and corporate issue services were the highlights of the quarter. The strong performance in retail fixed income reflects our growing ability to deliver fixed-income products and enhance our market-making capacity. In parallel, corporate issue services benefited from our warehousing strategy. We changed to meet client demand in the first quarter of 2025, while mitigating the expected weaker seasonality. When we compare the gross revenue breakdown on the right-hand side of the slide, in 2024, retail maintained 75% of total revenues and corporate and issuer services gained space against institutional revenues. Let's move to the next slides with more details on the different segments. Retail revenue posted BRL11.791 billion, a 14% growth in 2024 and marked BRL3.5690 billion in the fourth quarter '24, representing 2% growth quarter-over-quarter. As expected, fixed income was the highlight in the year and in the quarter, achieving BRL3.447 billion the full year, it's 49% growth and BRL985 million in the quarter, posting 5% growth quarter-over-quarter. Important to highlight, as Maffra mentioned earlier, fixed income is a relevant component of our ecosystem and the results in retail are completely connected with our distribution capacity and our relevance in secondary trading. I also would like to highlight those new vertical products presented more than 30% growth in the year, which means we are on track with our plan presented in our Investor Day in 2023. Moving on to the next slide, corporate and issuer services became an important contributor in our ecosystem, posted BRL2.289 billion, marking 45% growth in the year. In the quarter posted BRL599 million, which represents 9% growth quarter-over-quarter, marking a sound 45% growth in the year. Issuer services delivered solid results again on the back of DCM activity, achieving BRL1.324 billion with 46% growth during the year and reached BRL337 million in the quarter, a 5% growth quarter-over-quarter. On the back of a stronger quarter for issuer services, Corporate division was able to capture cross-selling opportunities, mainly with derivatives. Corporate posted BRL260 million in the quarter with 14% growth quarter-over-quarter. Looking to the full year, it represented BRL965 million, a 45% growth year-over-year. We have been talking about our warehousing strategy and recycle mode for some quarters. To provide you with the clear view of what robust engine we have in the fixed-income arena. The engine starts with origination, investment banking, allocating a part of our issuance in your book, and the offering in retail institutional clients. This was another quarter in which we not only distributed most of the previous quarter book, but also built a new portfolio with competitive products to meet client demand in the first quarter of 2025, mitigating expected seasonal impacts. This approach mirrors the strategy we execute in the second quarter of 2024, enhancing our competitiveness by offering high-return products compared to traditional time deposits and taxes and notes from large banks. Our securities books achieved BRL32 billion, representing 4% growth quarter-over-quarter. Moving on to the next slide, we will explore our SG&A and efficiency ratios. We believe our competitive edge is driven by our ability to continually invest in our core business, new technologies, expansion of our advisor network, and product development, while maintaining strict cost and expense control. Unlike our competitors, we are born digital, which positions us to sustain growth while improving efficiency. As a result, we grew 15% in total revenues and 10% in SG&A during the year. Total expenses posted BRL5.927 billion. Just a reminder, we incorporated Banco Model in the second semester of '23, creating a new baseline for the full year of 2024. So when we compare 4Q '24 and 4Q '23, the SG&A grew only 2%. At the same time, we also launched several new products, introduced our financial planning platform and hired close to 800 new internal advisors. Looking to 2025, we have new rounds of investments to enhance our platform, improving our banking product offerings with better segmentation than the full-year carry of the new internal advisors hired in 2024. Moving to efficiency ratio in the next slide. As we can see on the right-hand of the slide, we improved the efficiency ratio in 157 basis points during the year, achieving 34.7%. We also improved this ratio in 78 basis points in the quarter. As mentioned in the previous slide, our goal for the full year is to enhance our efficiency while continuing to invest in strategic areas. We expect our efficiency ratio to improve throughout the year. Let's delve into EBT now. As a result of our assertive strategy to provide new and innovative solutions together with our strict cost control drove an unprecedented EBT and EBITA margin expansion through the year. Along with these actions, we also organized our corporate structure, decreasing maturity in our cost-of-capital and funding, benefiting both wholesale and retail banking business and also better positions XP to compete in those markets. So our EBT responded to those decisions during the year, presenting 26% growth and achieving BRL4.907 billion. In the quarter, EBT totaled BRL1.289 billion, posting 6% growth quarter-over-quarter and 30% growth comparing to the 4Q '23. Our EBT margin marked 29.1% for the year, posting a strong increase of 263 basis points. In the quarter, EBT margin was 28.7%, 66 basis points higher quarter-over-quarter, and 430 basis points expansion compared to the 4Q '23. For 2025, our efforts will be to expand our ecosystem, capture the benefits of a larger business, and targeting our commitment to 2026 to deliver EBT margin between 30% and 34%. On the next slide, we see the adjusted net income. 2024 was a year of more ups and downs than average even for Brazil. Remember, that in the beginning of the year, macro expectations were different from the 2Q '24 and way different from the last quarter of the year. We did what we said and delivered results aligned with our 2026 guidance released in December 2023. And the adjusted net income in the year achieved BRL4,504 million, a 17% growth year-over-year, and in the quarter, it was BRL1,210 million, excluding the one-off impact representing 2% growth quarter-over-quarter. As we talked during the last two quarters, it's important to remember that our estimates on normalized [ETR] was around 18% and it was the case. Since in the quarter marked 17.9% and in the year 18.7%, we expect the effective tax rate to remain around 18%. Let's move on to the next slide to talk about capital management. As we have commented last quarter, we started to provide full view on capital and risk-weight asset figures. Looking at our ratio, it stood at 17.7% at the end of 2024. As a reminder, we distributed BRL2 billion in dividends and have an ongoing share buyback program. As we previously highlighted, turnover volume in fixed income reached all-time high, driven by our investments in secondary trading technology. We remain highly optimistic about this trend, which gave us the confidence to expand our books by BRL9 billion of high-quality securities. This strategy allowed us to capitalize on the widening credit spreads at the end of the year, enabling us to warehouse those assets at a more competitive level. Additionally, it's important to note that half of the volume was related to tax-exempt notes from quasi sovereign banks supported by the launch of a new product in Brazil, the development credit notes. Similar to the second quarter, we expected to sell these assets in the first quarter of 2025, helping to offset the seasonally weaker DCM activity during that period. With that in mind, we are confident in our capital level and there are no changes to our guidance. We continue to target a [BIS] ratio between 16% and 19%. It's also important to highlight that XP holds a higher proportion of CET1 capital at 16%, way above local peers. Additionally, we expect the implementation of the new 4966 regulation from the Brazilian Central Bank to have a positive impact in your BIS ratio over 2025. On the right-hand side of this slide, we once again presented our RWA total assets ratio at 30. The observed shift in the breakdown between credit and market RWA was driven by the increase in our warehouse books. Since the third quarter, credit spreads in the trading book have been accounted for as market risk. Despite this, our business maintains a comfortable average daily VAR reaching 16 basis points over equity or BRL32 million in absolute terms. Our capital strategy results in a conservative BIS ratio while supporting higher profitability and return to shareholders as we are going to see in the next slide. This slide summarizes our capital distribution for the past three years, reaching close to BRL10 billion in dividends and buybacks. This year, our total payout ratio was 74% if BRL3.6 billion capital return. And looking to the next couple of years, we maintain our goal to deliver more than 50% payout ratio. Now let's see our EPS and ROE. Our earnings per share evolution continues to post a solid growth and achieved BRL8.28, a 16% increase year-over-year. Same trend that we see in ROTE and ROE. ROTE achieved 29.2% in the quarter, representing 7 basis points, 8 basis points higher quarter-over-quarter and ROE posted 23.4%, 40 basis points higher quarter-over-quarter. During the year, ROTE marked 28.7%, up 376 basis points higher year-over-year and ROE achieved 23%, 164 basis points higher than last year. And now moving to my last topic, the new corporate structure. We mentioned in last quarter that we conclude the corporate structure in Brazil, where the bank became the parent company. As a result, as we can see in this slide, the cost-of-capital is 35% lower than before since we issued AT1 and T2 during the year. We could only capture part of these benefits in 2024 and we will only see the fully-loaded impacts of lower-cost of capital and also mature lower-cost of funding in 2025. Now moving back to Maffra, so he can do his final remarks and then we go to the Q&A.
Thiago Maffra: Thanks, Victor. So before moving to Q&A, I would like to reinforce four topics. First, our all-weather ecosystem, showing that our business go way beyond equities. 2024 was a challenging year, but we presented solid results, demonstrating that our growth strategy is well-positioned to deliver our 2026 guidance. Second, our retail net new money during the year was BRL81 billion, reaffirming that our target to increase BRL20 billion per quarter is on track also for 2025. Third, we understand that our true financials are still intact. We are continuously evolving our product platform, our multichannel distribution, our new segmentation, and our value-added service, supported mainly by financial planning, all of this set us apart of other players for the long run. And lastly, our capital discipline translates into a conservative approach, more efficient and with higher return to our shareholders. During the last three years, XP distributed dividends and executed share buybacks programs close to BRL10 billion and we will keep working to increase our profitability during 2025 and the next years. Now, Andre Parize, we will start our Q&A session.
A - Andre Parize: Thank you, Maffra. We're going to start the Q&A. The first question is from Thiago Batista, UBS. Thiago, you may proceed.
Thiago Batista: Hi, guys, are you hearing me?
Andre Parize: Yes.
Thiago Batista: Okay. Congrats for the results. I have two questions. The first one on the capital or the BIS ratio. This quarter, we saw a big increase in the risk-weighted assets, if not wrong, around 12% q-over-q, mainly on market risk. Can you comment about this movement? And the second one about the internal advisors. You mentioned, Maffra, in the first pages of the press release that they represented about 60% of all the net new money of the year, and they are about 15% only of your sales force. Can you comment on why those guys are so much more efficiency -- efficiently than the overall sales force? And by the way, congrats for the beginning of the press release, the short page that you wrote, I think was very, very good.
Thiago Maffra: Thank you, Thiago, for your question. So I will start with the second part of the question and then Victor will take the first one and good evening again to everyone here. So, the 60% of net new money is not only from internal advisors, but -- internal advisors, remember that we have three channels to date. We have internal advisors, the IFAs, and the RIA model that's basically the wealth management and consultants, okay? So when we talk about the 60% is what we call wealth services channel here, okay, and the B2C. So the two together combined is 60%. So -- but about your question about the level of productivity, yes, when we compare the internal advisors versus the IFAs, it's very different, okay, the level of productivity of the internal advisors, it's much higher. We have some hypothesis here. But the main one, I would say that's the way we manage the sales team here. We have all the datas, all the index, level of activity. So we control the sales process in a much more standard way than the IFAs, okay. But all the tools, all the intelligence, all the technology, everything that we developed for the internal advisors, we also provide for the IFAs, okay. So everyone here at XP know that -- knows very well that for me, the channel that they will focus more in 2025 is the intern -- the IFAs, the B2B channel because I believe we have a hidden potential here to unlock value this year because it's basically how we get all the tools and all the techniques, the sales process that we have developed for the internal advisors and how we scale that for the IFA network. So that's my main goal when we talk about channels for 2025 and I believe we can help the IFAs even further to increase their productivity.
Victor Mansur: Thank you, Maffra. Thank you for your question, Thiago. Just remember here, since the third quarter of the year, credit spreads risk is allocated at market risk by the new Central Bank regulation. So when we increased our book, BRL8 billion of corporate securities and quasi sovereign government banks, we added risk at the market RWA, not at the credit RWA since everything is booked in the trading book.
Thiago Batista: Clear. Thanks for the answers.
Andre Parize: Okay, next question is from Eduardo Rosman from BTG. Eduardo, you may proceed.
Eduardo Rosman: Hi, everyone. Congrats on the quarter. I have a question regarding competition with the banks and regulation. I think that earlier last year, we saw the regulator adjusting, right, the rules on instruments with tax benefits such as the LCIs and LCAs, which traditionally give the large banks an advantage, right? These -- I think has impacted our ability to supply the market and we saw, I think an improvement on the fixed income market outside these banking instruments, I think -- and this naturally, I think helps you, right? But on -- at the end of the year, we saw kind of a big reacceleration in the issuance of these banking instruments with tax benefits. So I wanted to know if you can explain to us what happened. And additionally, we've been seeing some reports in the press talking about a potential relaxation of these rules. So if you could share your thoughts on this, if you think it happens or not? And if it does, how that kind of might impact your business? Thanks.
Thiago Maffra: Hi Rosman. No, no, you can. So, I will start and then you can complement myself here, Victor. So to be honest, the scenario with high interest rate, it's very clear for everyone that it's -- it helps the banks a little bit on the competitive side. But in the -- I would say, especially in 2024, competing against if we go back one year or a year and a half, it was very hard for us to compete against the LCIs, LCAs, and so on because we didn't have, I would say the amount of these instruments that we need and not even the right price or the same price as the banks, okay. But we have been working very hard to find ways to replicate, to do partnerships, to warehouse, to do revolving lines, to do repo. So, I would say that we have developed ways, technology, and instruments to compete against the banks. So, I would say that's not 100% the same, but today it is very close. It was a big problem if we go back to 2023, it's not that big when we look today. So, I don't think that any change in regulation would have a big impact for us right now. And again, we expect this year, I would say that the BRL20 billion that we are saying here is today we see more as a floor than as like the target that should be the floor and we should deliver like higher net new money during the year.
Eduardo Rosman: Great, Maffra, thanks a lot.
Andre Parize: Okay, next question is Guilherme Grespan from JPMorgan. You may proceed.
Guilherme Grespan: Thank you, Maffra and team. Congrats on the results. Two questions on my side. The first one actually on the balance sheet. We saw BRL0.5 billion mark to market on the equity side, I imagine it's related to securities on the fixed-income or housing. If you could just put a little bit more color on that. It was surprising to us. We understood in the past that there was a hedge whenever you basically warehouse the security, we thought you basically do a hedge against the inflation-linked bonds and we're basically exposed only to the corporate credit risk. But by the comments, we understood that the market-to-market impact here was the Selic, the real rate in Selic moving up. So if you can explore just a little bit the dynamics of this warehousing exposure to macro dynamics and if we should expect a reversal of this market-to-market in the first quarter? And then my second question is just related on capital. You probably -- when you look at return on tangible equity, it's running basically at 30%, right? And the risk-weighted assets is growing at 35%. So basically the conclusion -- top-down conclusion here we reach is basically, you're not generating organic capital in this pace of growth of RWA. And when we try to do the math, I think there is a guidance of more than 50% payout for the next two years. It seems you're going to fall below the 16% range that you had before. At the same time, there was in the final remarks of this slide, a few CET1 numbers, it was not clear to us if you're revising the target or not. But just if you can help understand the math and the moving parts behind the capital because to us, we couldn't match kind of the payout that you were guiding to the capital generation we are seeing today? Thank you.
Thiago Maffra: Okay. Thank you for the questions, Guilherme. Starting with the OCI, that's not -- that does not come from the warehouse books. Those are balance sheet hedges. So just trying to give some color here. That's MTM of government bonds that goes against equity. But the bonds are hedging, several assets and liabilities that are booked at amortized cost. So, basically, we have a distortion in your OCI since one component go into action and the other one is not. To give you an example -- real example here, imagine that we have an inflation-linked loan booked at amortized cost and the hedge is against an N10B at available-for-sale going to OCI, our P&L is zero, but the first one is not going to the action, the second one is going to the action. We will take advantage of the new Central Bank regulation, the 4966 that starts to -- starts live in 2025, and we will harmonize those booking models for hedges and balance sheet and should eliminate this effect for the future. I don't know if it was clear.
Guilherme Grespan: Yes, super important. So actually you have unrealized gains in the held-to-maturity of 0.5 billion as well.
Victor Mansur: Exactly. At amortized cost, my loan portfolio and emissions that I had against market and then you go.
Guilherme Grespan: No, that's clear. That's important and super-clear, yes.
Thiago Maffra: Okay, great. Going to the RWA question. It's important to reiterate that RWA growth has been driven primarily by the expansion of the wholesale banking franchise, which is relatively new. We are gaining market share and delivered higher ROEs than our peers, and most of wholesale banking business as derivatives, the market making, warehouse, you choose -- you choose what business lines, you first start dragging your capital, then you realize your gains over time. So as we are scaling the business, it's natural there the RWA growth. But if you compare the growth of the RWA, if the growth of the business inside corporate and corporate banking, we are growing our revenue faster than the -- than the risk. And also our bank will reach maturity at some point in the future and the pace of evolution of the RWA will be more normalized the growth of the revenue.
Victor Mansur: And just to complement -- Victor here, because you mentioned that if we were changing the guidance for payouts and for the next year, no, we are very comfortable that we are going to pay more than 50% this year and the next one.
Guilherme Grespan: Okay. And just to confirm, the capital ratio is still 16% to 19%, right, the target?
Victor Mansur: Yes, it is.
Guilherme Grespan: Okay. That's clear. Thank you.
Andre Parize: Okay. Next question is from Gustavo Schroden of Citi. Schroden, you may proceed.
Gustavo Schroden: Hi, good evening, everybody. Thanks for taking my questions and congrats on the good year, challenging year and you developed good results. Before I make my question, just a follow-up on the first question about the IFAs and the internal advisors. Maffra, you mean -- when you say that your main goal in 2025 is to focus on IFAs, you mean that the idea is to replicate all the tools and techniques that you applied for -- that you applied on internal advisors and gaining productivity, aiming to have the same productivity in IFAs, that's the idea here. I'm trying to understand better what you mean when you say that the main goal is to IFAs and using the techniques and tools from internal advisors. My second question is about the take rate. So going back to your business, you were clear in saying that we should expect net new money at BRL20 billion per quarter in 2025, so it's part of our equation. So if you could share with us that what's the take rate implied in your expectations for 2025? I believe that as the fixed income gain share, it put more pressure on the take rate, so how the company thinks about take rate? What should we expect in 2025? Do you think that this 1.30, 1.33 is the best guess we can we can have? Thank you.
Thiago Maffra: Yes, thanks for the question, Gustavo. Starting from the first question, just to make it clear, when I say my main goal, when we are talking about channels, okay, because I have other goals here. But when we talk about the three channels, the main one that they will put more effort this year is the B2B channel, okay? And why? Because if we go back to 2021, one of my goals, when we talk about channels, was to diversify the channels. So back in 2021, I would say, that the -- I don't have the precise number here to be honest, but I would guess the IFA was about like 80%, okay, more or last year, and today it's 40, okay? But -- so I spend a lot of time working side-by-side with internal people here with the leaders to develop the B2C channel and also to develop the corporate channel, okay? So I would say that these two channels, they are in a very good shape today, okay, growing. We have the right leaders. They are performing well. The returns are very good. And now it's time to put more effort in how we increase the productivity and how we deploy the same techniques, the same technology, the same -- the same sales management tools we have on the IFA channel. So it was exactly your question. But again, just to make it clear, it's not my one goal for 2025 is talking about channels, okay, not about everyone -- everything at XP. And for the second question, if we look at the take rate for the past three years, it's around 1.28, okay? The guys here they can help me, but it was 1.28, 1.28, and probably 1.29 this year, okay? So it has been flattish for the past three years. When we say that this year we are going to deliver more than 10% growth on top-line, and 10% for me is conservative here, we should deliver more, okay, it's considering the same take rate. We don't -- we are not projecting higher take rates for the near future. Yes, we believe we are like close to the end of the cycle because of the changing mix because if we looked at last three years because of the high select rates, volatility, and so on, all day you see moving from higher ROAE products to fixed-income products with much lower ROAE. We believe we are at the end of this cycle. We don't know if we are there yet or not, okay, but we are close to the end, but we are not projecting that on the internal budget or on the numbers that we are showing here. So we are expecting flat take rate for 2025.
Gustavo Schroden: All right. Super clear, guys. Thank you.
Andre Parize: Okay. Next question is from Tito Labarta, Goldman Sachs. Tito, you may proceed.
Tito Labarta: Hi, thanks, Parize. Good evening, Maffra, Victor. Thanks for the call and taking my question. Two questions also if I may. Thanks for the revenue guidance on 2025. And Maffra, as you mentioned you think it's conservative, but just -- I mean it does need to be a little bit higher to get to that 2026 guidance, so just to think about where the upside to that 10% could come from. I mean, you mentioned maybe you're getting close to the end of the cycle on the mix shift, I mean, I guess, do you need to see equities do better? Do you think there's enough growth in just like the fixed-income and the new verticals, particularly given that the base is going to be higher in '25 to get the growth in 2026? But just to think about where upside to that 10% growth, where could that come from? And do you need it to deliver on the guidance? And then second question, just on expenses, right? I mean, expenses growing around 10%, you're still guiding for some margin expansion, is that 10% growth sort of the right level of growth? How much flexibility do you have there? Is there any other cost-cutting that you can do to keep the growth a bit lower or just how should we think about expense growth for this year? Thank you.
Thiago Maffra: Thank you, Tito. The first question, the way we have been presenting the company, the way we manage the company is on the three verticals, investments, cross-sell, and the wholesale bank. If we look what we did last year, and again, it's important to remember where we came from back in 2023 when we did our guidance and when we did our internal budget, Fx, BRL was supposed to go to 4.5%, interest rates going to 8.5%, 9%, so equities was supposed to go to 150 and the environment in 2024 was completely different, okay. And how we managed to deliver, I would say, 100% of our internal budget and the guidance we gave because we have -- we were prepared for a tough environment, okay. We are not expecting a better environment and we are again prepared for a tough environment for 2025. So we are not projecting a better macro environment. We are working only with levers that we control here. So -- and if we look the three verticals that I mentioned, investments grew 13% last year, remember, our business here, the AUC growth close to Selic rate because today 65% of the total AUC is in fixed-income linked somehow to Selic rate, okay. And so if we expect the Selic rate of, 14%, 15% for this year, we should grow our AUC close to that number. Now, on top of that, we have another BRL80 billion to BRL100 billion plus here in net new money. So another 8% to 10% growth in AUC. So, when we look here, it's hard to not do a math that we don't deliver, another 13% here growth in the core investments as we did in 2024. Moving to cross-sell initiatives, we delivered 32%. We mentioned some, I would say, not guidance, but some projections here for some of the business lines, credit cards, insurance, and so in the presentation. So in our internal projections, it's almost impossible to not deliver the same numbers we were delivering in 2024, okay. And when we go to wholesale bank, we are growing 45% when we take out the institutional business that's more mature, okay. So again, we are continuing to grow this year. I'm not sure if at the same level, but close to this level. So when you do the math, remember, to achieve the guidance, we have to grow a CAGR for the bottom of 12% and for the top of the range, 21%, 22%, okay. So we delivered 17 last year and we are on the same pace for this year, okay. So for us, we are on track to deliver the guidance. We don't see anything to change the guidance or to say that we are not going to reach the -- inside the guidance. It can be in the middle, it can be on the top or it can be more close to the bottom, but it depends a little bit how it goes this next few years. But we are very confident that we are today from the middle and up, okay, of the guidance.
Victor Mansur: Thank you for your question. I will take the one about expenses. First, I would like to give you a color on how we manage expenses in the company. We have everything very low latency and so efficiency ratio management is a daily task for the company. We project every business line in revenue, expense, cost at every -- for every segment that we have at the company. What we are committed is to keep improving the efficiency ratio over the year. So, if the revenue is larger, we have space to invest more in areas that are strategically for the company. If the revenue is going near the bottom of our 10% indication that we gave here, we will manage the expense to fit and deliver on efficiency ratio improvement over the year.
Tito Labarta: That's very clear. Thanks, Victor. Thanks, Maffra.
Andre Parize: Okay. Next question is from Antonio Ruette, Bank of America. Antonio, you may proceed.
Antonio Ruette: Hi guys, thank you for your time. So I have two questions, if I may, one first in the quarter. So if you could please help us to understand the headcount here. So we see an increase of about 200 on Q-on-Q on headcount, but total advisors fall in 200. So, this means a greater contribution from internal advisors. And also following up on that soft guidance of 10,000 internal advisor is still -- is this still up, how should this behave over the next quarters? So this first on headcount and D2C. And also a second one, a more strategic one on new products. We note that a relevant part of the guidance for 2025 and even '26 is related to the deployment of banking products and cross-selling or consortium cards. And I would like you to explore a little bit the challenge of doing so considering that many of your IFAs already distribute these products, not necessarily from XP and this would be great. Thank you.
Thiago Maffra: Thank you for the question, Antonio. So the first part of your question about the number of people, the headcount, okay. We have been deploying, I would say about 50 to -- it depends -- it varies a lot month-to-month, but I would say 50 to 80 internal advisors per month, okay. So I would say for 2025, our goal is to add around 500, 600 internal advisors, okay. So the 10,000 advisors, internal advisors, it was more an aspirational goal than a strict plan. So we are hedging, I would say, 500, 600 this year. We can accelerate or not just accelerate depending on the environment, on the KPIs. We have all the KPIs for all the cohorts. If they are doing well, we go faster. If not, we adjust some things before we move on, but that's the number, okay. So out of the 200, I would say 100 and something, 150, 130, they are internal advisors and the other people that are all around the company, okay. You mentioned there was something else about the decreasing number of total advisors. Yes, remember that I mentioned that the main difference of performance from internal advisors and IFAs was the sales management techniques, tools and so on, okay, that we use. But for me, the second one is, I would say, the quality of the advisors, okay? So we have expanded really fast in the past. And now -- and we have what we call here a curve ABC, okay. So the best ones, they are A, then we have the B tier and so on. And we have been very focused on having only the best ones, okay. So we are intentionally decreasing the number of IFAs in some case, okay. And the second point and that more focus on IFAs, okay, not -- we have -- we do the same methodology for internal advisors, but that's our daily business here, but we are also very focused on doing that on the IFAs. And the second one, talking about IFAs, remember that there was a changing regulation, I would say, mid-year last year, okay, that the IFA now they can be employees, okay? They can be under label agreements in Brazil. They could not be employees in the past. They had to be IFAs and partners. But with this change, we are starting to see some of the IFA offices are changing IFAs from the independent model to the employee model, okay, especially people that are not actually IFAs, they are like guys that work at desks [indiscernible] and some other tasks. Even these guys in the past, they were most part of them IFAs. And even some advisors in some of the IFA offices there are becoming employees, okay? We have, I would say, one big one that all the IFAs, they becoming employees in the last two quarters. So that's why you see the number of IFAs decreasing. Folks don't qualify for IFAs and they're changing from IFA to employees. And about the -- what was the second part? Okay, the cross-sell products if they -- when they produce outside of XP, right? There are some ways to try to mitigate that. The first one, imagine that an IFA is much smaller than XP, okay? And when we launch a product and we do the partnership with the players to be a marketplace, we have much better agreement with these companies then the IFA is isolated. So for example, insurance -- life insurance, when we started, as you mentioned, a lot of IFAs, they already did life insurance, especially whole life insurance with all the players that you guys know very well that are global, and -- but today, all of them, they do with us, all of them, okay, for some reasons. First one, we have better agreements than they had before. So they make more money doing through us than directly with just partners. Second one, we have better experience because, remember -- imagine that you were an XP client two years ago and you buy a whole life insurance, you had to go to the insurance company, open an account, wire money to displace, you could not see your life insurance policy integrated in your financial planning in XP app, so it was a mess. The experience for the client -- the final client was a mess. The third one, imagine that you are in an IFA, you have to open a new system, you have to go to five different insurance companies, you have to go there, input all the data, everything and to get a code, okay? Then you get back this code and you have to go through a lot of different systems, now we have one marketplace at XP, okay? We have our own insurance company, but we have other players. Our concept here is always to be an open platform no matter for each product, and you can do everything on what we call here the hub that's the tool for the IFAs to sell everything from investments to life insurance, you go there, you do one quotation, you do everything through this system and everything is integrated for both the IFA and for the customer, okay. And the fourth one, today we have agreement -- exclusivity agreement with -- for investments with 90 plus percent of the IFA offices and we have almost the same thing for all the other products, okay? When we do an investment in equities or when we do a prepayment agreement with an IFA, we have exclusivity for all -- today for all the products, okay? So of course, for some products that we don't have, we cannot ask them to do refers because we don't have or -- of course, we have completely different financials for them, we will have to discuss. But again, remember the first point, usually we have better agreements, we have better experience, and we have exclusivity agreements. So it's very hard for them like to do outside. Just to give you an example, in three months that we start consortium, we did like more than BRL1 billion in premium in two months, three months, okay, so it's growing really fast.
Antonio Ruette: That's super clear. Thank you for the comprehensive answer. Thank you.
Andre Parize: Okay. Next question is from Neha Agarwala, HSBC. Neha, you may proceed.
Neha Agarwala: Hi, thank you for taking my question. Just a very quick one. You mentioned about changing the credit card proposition, could you just elaborate a bit on that? What are you changing for the credit card? Any new features you're adding? I believe you will continue to focus on your captive client base and not go open market. Thank you so much.
Thiago Maffra: Thank you, Neha, for your question. Backwards, we are not going to open market, okay, so we are focused on our current customers here, so don't worry. That's the first part of your question, if you get the products we have today where we have basically two, what we call, one, that's basically for small clients, okay, with Clean Credit and we have what we call [XPFinish], okay, the one with invest back of 1% and so on. Now what we are doing, remember, if you go back to the presentation, there is one slide that we talk about segmentation. I know that's very common for banks, but as we were born more on affluent customers, we didn't have retail clients and private banking clients, okay, in the past, we used to do the same value proposition from the middle to the clients on the bottom and to the clients from the top, okay. We started to change that two years ago and today we are much more mature. We can deliver different products, different pricing, different SLAs, different services. We have different financial planning, wealth management, and so on, for these different segments. And when we go to cards, it's the same thing. This year, in 2025, I would say, early second quarter, we are going to release some new cards, okay, folks on, I would say, the unique clients that we call the XP Unique here clients with more than BRL3 million in AUC and also another card for private bank clients, okay. So with different value proposition, different investments, different benefits, so a more suitable card for these clients, okay? And we believe it's going to be a notch above the market, something that's really new that there is no equal value proposition, especially for the private bank clients in Brazil.
Neha Agarwala: Understood. Very clear. Does it -- would that require additional investment? Should we see OpEx or CapEx increasing because of these changes? Any material impact?
Thiago Maffra: Nothing, nothing mature. Of course, they will have as they have more benefits, they will have a little bit higher COGS, but again, when we model that the revenue expansion, the higher interchange that we have, better cashback from Visa, and so on, you should not see anything meaningful.
Neha Agarwala: Perfect. Thank you so much, Maffra.
Andre Parize: Okay. Next question is from Marcelo Mizrahi, Bradesco BBI. Mizrahi, you may proceed.
Marcelo Mizrahi: Hi, everyone. Thanks for the opportunity. So my question is regarding the expenses. So you guys said about -- to gain efficiency, so the goal is to gain efficiency in the next year or the next quarters, I don't know. But the point is, in the last quarter, we saw a huge increase on the line of the bonuses. So the -- so the amount of bonuses was very huge comparing the last, especially in the last two years. So it's -- how can we predict that? So expenses, we have to predict that. So margins -- EBT margins gaining, growing year-by-year and quarter-by-quarter or annually. And another question is regarding provisions. In the last quarter, we saw an increase on provisions again. And so to be clear, this is the level that is recurrent, so around BRL100 million is the level that could be recurring to the next quarters.
Victor Mansur: I will take this. Are you hearing me?
Marcelo Mizrahi: Yes.
Thiago Maffra: Okay. I will take the second part of the question or the second question about the provisions. Remember that in the past quarters, Q2 and Q3, we mentioned that the level was not very correct because back there we had some other positive impacts on the same line. It was in Q2 and Q3, something about BRL40 million to BRL50 million and we said that the correct level should be around BRL90 million per quarter, okay. So that was the speech in the last quarters. I would say that as we are growing the business and the loan book a little bit, we should be closer to BRL100 million, BRL110 million in the next quarters, Q1, Q2, and so on for 2025. So not a big increase from 90 to 100, 110, but a small increase as the loan book is growing.
Victor Mansur: Taking the expense questions, I think that you should also look at compensation ratio and both compensation efficiency ratio are at an all-time low and they should keep gaining margin over the year. We may have one quarter or another quarter if a slightly higher number, if you take third quarter for example, where we have our annual event, it may have a bit more, but over the year, we should deliver again in both of those indicators. And about the expense -- compensation expenses in the fourth quarter, as Maffra said, we reached 100% of our internal budget. And basically that is performance metric that we have. We have a nice curve in remuneration and when we reach our goals, we need -- we pay more to our team and our partners, basically, that is it.
Marcelo Mizrahi: Oh great. Okay, great. Thanks for your answer and thank you.
Andre Parize: Okay. Next question from Daniel Vaz from Safra. Daniel, you may proceed
Daniel Vaz: Hi, everyone. Good night and thank you for the opportunity for making questions. Two on my end here. On the waterfall slide that you showed us, the contribution by segment to reach the 10% growth in 2025, two points caught my attention. First, the DCM contraction that you expect for the market. This might be directly linked to your market-share gains. Could you share with us what your assumption for the system contraction in issuances? And second, the growth above 10% in corporate and institutional. Given that institutional business in Brazil has been struggling to grow and funds, we are not seeing so many good projections for net-new money still in the funds, what is your breakdown that you're assuming between these two segments? Are you expecting any growth to institutional business in 2025? Thank you.
Victor Mansur: Hi, Vaz. Thank you. Thank you for our question. Starting with the DCM activity, it's too soon to say that DCM activity will be lower over the year. We were seeing the pipeline a bit weaker for the first quarter as it is expected, you have summer vacation, carnival, and then you go. And if you look at our presentation, we gave a color that we are housing BRL8 million to BRL9 billion in corporate assets and taxes and quasi sovereign government banks to have products to offer to our clients, even though if our primary offering was a bit weaker. So we expect fixed-income to keep performing very well during the quarter. And okay, perfect. And institutional growth, as Maffra said, is a more mature line and it's more trailing by ways of volumes and the size of the industry of funds. So there's no surprise here. If it's another tough year for institutional investors, probably this revenue line will behave the same as last year. What we are seeing that may take a catch for the next question also is when we analyze our clients' portfolios, we see that the movement that we call [indiscernible] should be near to an end for this level of interest rate. So basically what that means, we suffered a lot over 2022, '23, and '24 if mix of -- with change in mix of products, basically clients moving from equity funds, hedge funds, equity trading to fixed-income. This made a compression in our take rate from investments that we compensate by the growth in the fixed income platform. But now those lines should be stable or a bit lower and if the markets improve a bit, recovering over the year. And also the fixed-income funds, the funds platform, they grow Selic plus something. So we keep confident that we will keep delivering results in both of those lines. And if you look at the corporate business line, basically the -- one of the main products that we have at the corporate business line is cross-sell products, the fiduciary services. And when you go to our DCM capacities, we are top three in the ranking, but we are top one in tax-exempt corporate bonds. And those bonds, they are issued in inflation and the companies hedge the inflation exposure against our market making desk. So we expect that those taxes and corporate bonds keep a more sustainable pace of emissions over the year and the corporate should keep tracking the issuer services revenue and we expect both of them to be flattish over 2025. If Corporate that the only product that is not only inflation-linked, should outperform. And you have energy, you have foreign-exchange, other kind of derivatives and so it should keep the grow the growing pace of 2025 -- 2024, sorry.
Daniel Vaz: No, thank you. That's very helpful.
Andre Parize: Okay, next question is from Renato Meloni, Autonomous. Renato, you may proceed
Renato Meloni: Hi, everyone. Thanks here for taking the question. I wanted to go back to the slide where you're showing the growth revenue drivers, right? And specifically here on the DCM. So going back to your last answer, you're saying you expect volumes of DCM still flat, but you still had a bar there showing like lower DCM volumes. So I'm still trying to figure out here what's the assumption there? Or if you're also assuming that you're going to have lower fixed-income take rates on the -- on this market this year? And then if you move to the next bar that you said like compensating that for higher market-share gains. How much market-share gains you're embedding on this assumption here and what gives you conviction that you're going to keep gaining market share in a more competitive market? Thank you.
Thiago Maffra: Yes. I will take the first part here and Victor can complement myself here. But I would say that the point here is, when we talk about the 10%, more than 10% there, as I mentioned, it's in my view here, it's more like a floor than the target, okay. If we take in consideration that the DCM volumes, they are going to decrease, okay, of course, there is some impact on the year, okay, but they are not as relevant because as Victor mentioned, we have a whole ecosystem around fixed income in the company. We have 50% market share in the secondary market of our corporate bonds, okay. Today, we have a volume -- a traded volume from retail clients to institutional clients that's much, much higher than three years ago. But so in our view, even though we have a slower primary market that again for us, it's too soon to say that the primary market, especially for us, remember that we are different from the banks. We don't compete in all the business lines with them. We are much more strong in products that are related to retail that are tax-exempt. So, that's why we believe if the market shrink, we will have more market share, okay, because the type of products that we are the main issuers, and that we have a powerhouse to distribute, they will not decrease on the same pace or percentage as the market. So -- and we are developing a lot of new business line here on capital markets as Victor mentioned, when we look corporate, we grew when we take-out the institutional business 45% last year, 45%, okay. So we are not going to decrease to zero or decrease to 10% this year. If it's not 45%, it's 30%, it's 35%, it's 40%, okay. So because this business, they are very new. We just started many of them, okay. When we look energy, we started the business two years ago. So, we are at the very beginning. When we look at some kinds of derivative, we just started, when we look at fixed income for Latin America, we just started, okay. So we have a lot of new business lines on corporate that gives us a lot of assurance that we are going to deliver numbers close or around what we delivered last year, okay, despite a lower DCM, if it happens, again, the Q1, it's not a proxy for the year, okay, because every year Q1, it's a lower level of activity for DCM for the past three years. We already predicted that. And that's why we -- one of the reasons why we increased the books as Victor mentioned because we knew that now we need products to sell, okay, in Q1. And the secondary market and all these other corporate products, they will more than compensate the lower level of primary DCM in Q1. So we are very comfortable that we are delivering the same level when you look all these products combined, DCM, corporate, credit and so on, we are being able in Q1 to deliver the same level of revenues or even a growth
Renato Meloni: I don't know if Victor is going to do a follow-up.
Victor Mansur: So I think the last point here that is important to mention is the corporate restructuring that we just finished in the 4Q, basically, we started that in 2024, it took us the entire year to conclude the process and the last approval from the Brazilian Central Bank was 19th of November. So, basically, we didn't have one single quarter of the fully-loaded benefits of this new structuring in the company. So over the year of 2025, our bank has considerably more competitive capital and funding prices, which will allow us to compete for business that we couldn't before, also helping to explain our confidence in the gaining of market share.
Renato Meloni: Perfect. That's well understood on the market share. And here on our side, should we assume that fixed-income take rates will come down this year?
Thiago Maffra: In our view not, but why do you believe it's going down?
Renato Meloni: This been going up. I think part of that was also due to mark-to-market. So I have some concerns if that will continue at the same level or as the market comes down a bit, we'll also see some compression there.
Thiago Maffra: The part of the mark-to-market last year was a very small part of the whole fixed-income business, very, very low. So, we don't have any directional or proprietary positions on credit spreads. So, that's not our business. So you don't need to project a lower take rate because of that.
Renato Meloni: Okay, thanks. That's understood and very helpful. Thanks guys.
Andre Parize: Okay, thank you all for your participation. Today was a long call, one hour only in Q&A. So, I mean, we're going to be more than happy to answer further questions through the IR team and management is always available to see you in the next quarter. Thank you.